Andrew Kiguel: Welcome everybody to the Realbotix Q2 Financial Results Call. This is Andrew Kiguel, the CEO. On the line we have Matt McMullen, the Chief Visionary Creative and COO; Martin Bui, our CFO; Eric Abrahams, our Chief Technology Officer; and Jennifer, our Head of Communications. I'll do first a quick walk through the quarter then some communication around our strategic pathway forward where we're at as a business. And then towards the end of that we'll open it up to some Q&A, plan on doing sort of 10 minutes of Q&A or so, so we'll try and get to as many questions as we can. And in order to ask the questions, I think you just put it into the Q&A button there in order to do that. So back to the quarter, these are results that ended from January to March of this year. We had a 166% increase in our revenue to approximately $761,000 and for three months and a 220% increase in revenue to $1.6 million for the six months ended March, 2025. Obviously those numbers are all in US dollars. That quarter was not the best quarter for crypto, whereas, the end of last year, post the Trump presidency there was a big rally in crypto that really cooled off January to February. We've now seen that all come back. Obviously that's not reflective here. But as a result of that, the way things work for us and these are the accounting rules is that when there is a gain or a loss in the value of crypto, it flows directly to our income statement right to the net income line. And s we're subject to some of the -- what happens within crypto, which impacts what our bottom line looks like, although I would stress that's all non-cash. In terms of some highlights of this year, for us for sure one of the key highlights was our attendance at CES, the Consumer Electronic Show in Las Vegas in January. There was a lot of reasons why that was significant. Number one that was the first time we had ever shown our products to anybody. Nobody had really seen what we were working on. I know we've been talking prior to that about building a robot company and I don't think anybody really aside from some pictures knew exactly what we were doing. The response at the show was amazing beyond our expectations. And I think we came away with that thinking, hey, we definitely have something great here. Some sort of key statistics we had probably one of the busiest boots at CES and that was busy not just from attendees, but from other exhibitors who were all coming by and really amazed at what we were doing. We were told we had four billion media impressions around the world, and that is really just the addition of the audiences of various news that was covering us. And that was television, newspaper, anyone from Fox News to Barstool Sports to Forbes. We really got quite a lot of attention that carried on through the month of January. And on top of that there were numerous viral videos that went forward. We've been sort of showing some of those off on our social media where some people got upwards of 18 million views on their recordings of us at our booth at CES. So we thought that was a really great validation of what we are doing and the fact that it elevates -- like having a robot there was a little bit like having a rock star, like everybody was interested in coming by. We had celebrities coming by. It was quite amazing. And I think, again, it reinforces and validates the strategy that we're on. Other key things that we announced this year, for us it's always been really important to make sure that our hardware or our robots can operate our AI, which is more companionship and socially based but also its ability to run other people's AI. And that's really something I think unique to our robots. I've not heard of any other robot manufacturers doing that. They're sort of like a one and done. You run -- they all look the same and they all operate the same system. I think what's unique here is we add a tremendous amount of versatility by being able to provide our clients with an option to say, okay, you can have the robotics AI, which comes somewhat built in and included into the package or if you want to run ChatGPT or if you want to run Llama or Gemini, those options are also all available. And what we've seen is some interest from companies that have their own AI. There's been two in particular that we've had conversations with who say, we're not -- we don't use the stuff that's out there like the Geminis or the Groks, and we don't need yours but we've developed our own AI that we use internally and that's what we would want to operate through a robot. And so this approach makes our sort of -- the way we're sort of positioning ourselves, makes our robots far more versatile in terms of how they're positioned. The other things that we announced this year that are significant is the launch of our Vision System, which we patented. And we think that's really significant for a few reasons. The Vision System is able to recognize faces like once it looks at you and you say, hey, this is Andrew Kiguel. It's able to recognize you and your prior interactions can be recalled. In addition, it can recognize objects. We've had that tested out where it will see things. It will be having a conversation with you but see something in the background and we can see through the programming it'll recognize, for example, a car or a bike or something else that's in the background. And finally, it's also able to recognize situations. And so the AI and our ability to take the AI and through this Vision System to make it smarter by adding the ability to see, I think is quite unique. And so where that might come forward is imagine that the Vision System is there and the robot is placed in a customer service role in a retail store and it's able to sort of identify people greet them, talk about the various products in the store. But if it sees something that is maybe suspicious somebody putting a product into their bag without paying for it, it's able to snap a quick picture and send a notification to security to say, hey, this looks suspicious might be something you want to investigate. In addition, think about this when we've had conversations in a healthcare setting where it can actually say, oh, this person maybe that is in the hospital, they fallen or they need help. Takes a snap a picture, sends it to the right person and then they're able to sort of address "Hey, is this something that needs to be taken care of." And so this ability to recognize situations I believe is quite unique when married with AI and the vision system. Heading on to some of the collaborations that we've done. There's been a lot of them and they sort of continue to grow. In April, we announced a collaboration with Tix4. And Tix4 is one of the largest ticketing agencies, if not the largest ticketing agency in Las Vegas. So they have numerous kiosks around the strip and what they essentially do is they sell tickets to shows. And many people when they go to Las Vegas, they don't entirely know what show they're going to. And so what traditionally happens at these kiosks is there'll be a human representative there. They'll be like "Hey are you interested in going to a show tonight? Here's what's playing" and you sort of engage that customer. However, that human doesn't have access to all the information like what shows are sold out, may not know the time that each show starts, may not know offhand the prices to every single show or the exact directions, a bunch of things that really a human would have to go into computer and check. What we've been able to do is to team up here with Tix4 and we're going to – we have this ticketing AI that we've collaborated on with another company called Hollo, whereby you'll be able to walk up to the robot and say, "Hey I'm in town, what shows are playing tonight. I'm here with my two kids, they're eight and 10." And through the AI, communicating through the robot, it'll be able to say "Oh hey, here's a selection of three different shows that are playing nearby that are appropriate for you and your family." You can say "Oh, can you tell me a little bit about the shows? What are the reviews like?" things like that "How many tickets are available, if there's different pricing for different seats like can you tell me the pricing what's available?" And then you'll actually be able to purchase a ticket. And we think that's highly inventive and unique. We don't know anybody else in North America that's using robots in this way as a customer service agent that is actually enhancing and doing something that a human would not be able to do without the assistance of a computer anyways such as again checking the availability of various shows. There's probably 100 shows going on in Las Vegas strip at a time. And so we're going to be doing a test pilot with them later this year. That then sort of has elaborated in that there is a major conference happening in Las Vegas, May 27-29 and we're teaming up and we're actually going to have the robot there at the kiosk. So we're going to have sort of an Aria robot there. She's going to be wearing a Tix4 uniform, running the AI and acting as a ticketing agent. So you'll be able to walk up and have a conversation just like you would with anybody else. "Tell me what's appropriate for me and my kids" or "I'm here with my wife" and the robot will be able to interact with you and do that. And so again, from our perspective this is sort of groundbreaking stuff. And I think a lot of people will be having an eye on us to see, how this can be successful in terms of using robots as a customer service representative. Through the course of 2024 and 2025, we provide an update here obviously, that some of our crypto was held with Genesis Global Trading. They had ran into their own issues and unfortunately are undergoing a restructuring. We've continued to receive back some of our assets from them. We hope to continue receiving them. We haven't received anything in a few months but we received back approximately 40% of our Solana claim and 77% of our Ethereum claim. As I said in the press release, we view 2025 as sort of a year for us to showcase our robots, continue to establish partnerships and find acceleration here to 2026. The enterprise clients that we're after people that can come in and say, great, we'll take 10 robots or 20 robots and have the balance sheets and the wallets to do that, they're not people that make decisions overnight. They want to see these tests that happen in, sort of, real-world environment. And I would say we're happy as to how that's progressing. In terms of, sort of, other corporate updates here to provide there's been a lot that's come out recently on the market side. And we've put a lot of this into our management discussion and analysis MDA that we filed today. You can find that on SEDAR. And the estimates for this market are just simply huge. So Citibank estimates 1.3 billion robots by 2035. Morgan Stanley predicted just under one billion robots in about the same -- a bit of a longer time frame. Morgan Stanley actually said that they believe the market for humanoid robots will be materially larger than the entire market -- the entire global auto industry. They also went on to say which I think is interesting that a lot of the companies that are going to be there might be companies that you've never heard of or small companies, companies like us and I think we're taking this very unique approach to the marketplace that nobody else is taking and I'll talk a little bit more about that. Another really interesting article that we read and we've included and you can access through the MDA on the -- that's been filed the Harvard Business Review conducted a study that came out earlier this year. And we were surprised to see that the top use case for generative AI was therapy and companionship. Those were the number one applications. Now since AI is highly accessible by almost everyone it has the ability to assist in tackling things like loneliness which we continue to talk about. It can enhance learning and improve mental well-being. These are all things that are part of our sort of road map going forward. And companionship really encompasses a lot of social and emotional connection that we can assist through the AI that we've developed. We view that there's a technological and cultural shift that's coming here. And AI is more than just a tool for tasks which is I think where the bucket that most people assume it falls into. Loneliness is well-documented epidemic all over the world across all age groups. And I think when you combine AI with a humanoid robot I think the assistive nature of what we can provide to people that fit into this segment is multiplied and quite meaningful. In terms of enterprise products I'll talk a little bit about here. Our suite of enterprise robots really we're looking to enhance and optimize customer engagement, customer satisfaction, customer reach and as well as collecting data. And this is again we talked about hospitality so concierge services at hotels and casinos, entertainment, greeters, retail, healthcare. These are all of our target markets. And we're in conversations with people in all of these various areas. But again, it's not an overnight sale. We're positioning ourselves to say, hey we are the number one people designing robots for human interaction. And these people want to see the trials. They want to see the installations and how these things work. And so that's why we think what we're doing with Tix4 and Hollo over the next couple of weeks and thereafter is quite significant and a lot of people are keeping an eye on it. We've also with respect to our robots have decided to put them into the various series. And so we have the B-Series which is more the entry-level robot. You have the ability to integrate again various LLMs. It's equipped with the ability to move 17 different facial points or 17 degrees of freedom. And those robots are at $20,000 and have a variety of additions you can do at such as the Vision System. And it can also be later added to a body. So for somebody who says, hey I would like to have a robot but I don't want to spend the full amount right now, you can have sort of what I would this entry-level robot. The M-Series robot which stands from modular is really the robot that is -- it's a full body, but it's stationary from the waist down but has full upper body mobility and robotic capabilities. Those have 39 degrees of freedom. So when we talk about degrees of freedom that's really like points that can move and they can move sort of at the same time with other points or whatever but that's like when a robot puts up his hand does a wave or tries to shake a hand. These robots are also the ones that are modular and so they can sort of -- if you think about like a LEGO, they can be pulled apart and traveled with. And that's again, something that we're doing that, I don't think anybody else is thinking of robots with removable faces, customizable faces, that you can pull apart and travel with. Again, this robot doesn't have the ability to move around. It's stationary from the waist down, but nonetheless is a full human-size robot. The F-Series would be our highest-tier robot and that includes a motorized wheel base with a built-in battery that has the ability to sort of move around for four to eight hours depending on use, and has 44 degrees of freedom. That allows it to have a lot of simultaneously moving parts and moving around. That's again, our top-tier model and how we're classifying it. Our intention is again for people to remember, we're still a very early-stage company. And while, we have a lot of the technology nailed down and we're satisfied with it, we're always tinkering with ways to make improvements. How do we make things a little bit smoother? How do we reduce the cost? Our view is right now that the prices will come down. There's always going to be sort of an initial adopter premium that's paid, but we feel we'll be able to bring down the prices significantly over the course of the next two to three years to make them more affordable at the enterprise level. All of these products by the way are controlled by something we call the Realbotix Robot Controller App. To be clear, what that is it's really, what you would download and allows you to maneuver the robot program it and choose what AI you want it to operate on. Again, OpenAI, ChatGPT, whatever it is that you want to use. That product will be mandatory to have installed on the robot, and has a monthly fee attached to it. It allows us to continue to update the robots remotely. So for example similar to how a Tesla works, where the software can provide updates to the hardware remotely, we can do the same thing. So what does that mean? That means, if there is a new large language model AI platform that comes out that, we're not aware of that, replaces ChatGPT or Gemini, or any of the main ones that are out there, we are able to remotely make the robot functional on that AI. If there is other operational updates for example, we develop a new animation for the robot, maybe the robots can waive make peaces signs or anything. But let's say, one of the things that, I don't think we have right now is like a fist bump. If we wanted to build that, we could build that remotely and then integrate that into the robot via this sort of monthly subscription service that keeps the robot operating allows us to keep an eye on it make sure that it's being properly -- functioning properly. In terms of personal use products, again, those relate more to loneliness and social isolation. Those products we have that under a separate segment. We expect to have a new fully rebuilt AI around that line this summer. We're currently in beta testing for that. And again, what this is meant to do is engage in conversations. It's meant to have emotional intelligence, a consistent presence, cognitive engagement, and really just make people who maybe don't have access maybe they live in a small town, maybe they suffer from a disability, or something that doesn't allow mobility, there's all kinds of reasons why people suffer from loneliness. And again, this product has a lower price point, less robotic capabilities, but I think the idea there is that this product is able to assist people suffering from things like loneliness, by providing companionship. In terms of other operational objectives for this year, we're trying to develop a strategy here that's going to promote our products to target audiences to establish sales channels. We're in the process of building up our sort of sales team, marketing team. In conjunction with this, we plan to have several robots available by the end of the year that we'll be able to sort of use for installations. We have noticed that our attending conferences tends to lead to a lot of buzz, as people see the robots and they're amazed by what they see. And so, we're going to make a larger effort to attend some of the largest conferences in the world, including some in the Middle East and in Europe. We'll be attending some of the largest tech conferences there in the fall. And that's already been scheduled. And so, we're excited for that and really to take our products and have it seen by the other side of the world. In terms of manufacturing, we're in the final stages of defining our manufacturing strategy for the current three robot models. Essentially, it's about coming up with the plan. So, while the technology is there, there needs to be a plan. What are the best ways for us to manufacture this at scale? We have plans to sort of increase our scale of production, significantly next year and then exponentially after that for every other year, with a target that after a few years, we want to be in a position to manufacture at capacity thousands of robots. Obviously, that may change based on market demand, availability of materials, and our ability to outsource certain non-proprietary aspects of manufacturing. And so, this is not to be interpreted as forecast, but certainly our view as management is that we're really on to something special here. We're taking an approach here that is unlike other robot companies. And while people often say, "Hey, you guys are operating in a niche," I don't think we're operating in the niche. I think everybody else is operating in a niche. I think robots working in automotive factories and things moving boxes around and doing things. You can make them look more humanoid, but that's really been around for years. To have robots that look like humans, that can express emotion, facial expressions, that can be disassembled and put into a suitcase, that have customizable movements and animations, customizable voice selection, vision systems that recognize faces, objects, and situations. We feel we're really on to something special here and believe that, we're developing a market that doesn't exist right now. And I think we're extremely confident here as we continue to go and demonstrate our robots in more and more locations, that that will pay off in orders and relationships. With respect to our crypto holdings, there's obviously been some volatility since November. The last quarter of last year was extremely great for crypto. First quarter this year, which is what we're reporting here was not so strong. Our perspective is that we're trying to responsibly divest the crypto overtime. You can look in our MDA and see what the exact holdings are, and we'll be uploading the new deck to the website probably tomorrow, that will have the revised figures. But the one thing that we've sort of seen here is, in order for us to budget and grow this business, we need more financial certainty. When you see here the value of your treasury moving up is great, but when it moves down by 20% or 30% or even 50%, the way it did in between January and March, that makes it hard to do certain budgeting. And so, while we still believe in crypto, we will continue to do sort of a responsible disposition over time. And I think we had this conversation with the Board this week. I think if we were to see sort of a very strong bull market here, we would probably dispose of all the crypto convert it into fiat. And again, that's just financially responsible for us in terms of being able to budget properly and plan. The last thing that we want is for the crypto to decrease significantly along with our share price and then we're stuck doing sort of a desperation offering at $0.10. I think providing us stability to say, "Hey, we don't have a need to finance for another 12 months" provides us with some strength that other companies or investors can't come and try to lowball us into doing something that's not in the best interest of shareholders. So, I think that's it for us. I think, we can open this up now to some Q&A.
A - Andrew Kiguel : My expectation for the Bitcoin trade show is referring back to what we said, we're going to have two robots at that show. One is going to be in collaboration with the actual conference where you'll be able to walk up to the robot, and have a -- use it -- it's not just a greeter, but it can actually direct you so you can say, "Hey, where is the Hut eight booth?" And it will say, "Oh, the Hut eight booth is located in this section of the hall in this building." It can be used as an informative tool to assist people there as well as I think just elevating the presence. I think you're going to have a lot of people there. In terms of what we want out of it, I think, similar to CES, we're hoping to get some strong media coverage, but I think there's a lot of entrepreneurs and people there. I think number one, we might see people that want to invest and buy the shares. But more importantly for me, we're using this as a test run, and we're inviting a lot of people that we're having conversations with on the enterprise side to say, "Hey, why don't you guys come down to this conference. We'll get you tickets. And come take a look at what the robots can do. Because we're dealing with something that is physical and AI-driven, seeing is really believing. It's not something that can be quite captured off of a video. And so seeing it in person is the key thing. Another question I have here is what is the status of the NASDAQ listing in 2025? Yes. We continue to explore that. We've had a lot of conversations with people. I think there is a plan in place. It's hard for us to put timelines on it. What I would say is, we are looking at it and it is a high-priority item. There are some issues with listing on the NASDAQ that you want to make sure you're prepared for. So for example, a, the listing process costs money. It's not cheap to sort of put in your filings, and hire lawyers, and do all the stuff. So it's a way -- you got to weigh the return on investment on that. You're also are going to need to do sort of some promotion and marketing around it. There's also a share roll up that would be required. And so some of these things in the past in talking to other CEOs, what I'm trying to do is talk to CEOs that have done this across the uplisting to the NASDAQ and readied it and see like, okay, where did you go wrong? What didn't work here? And so the idea is let's do this in a way that ensures success for us and shareholders. Like obviously between Matt and I and the Board and everybody else, we're shareholders. I'm in the same boat as other shareholders. I want to see the share price go up. Since running this company in the predecessor, I've not once sold a share. And my plan here is not to continue living off the salary. I want to see these shares continue to go up. And so I believe that near-term listing on the NASDAQ is the right thing to do and we're working on it. Somebody's asking here for some details with respect to our manufacturing scalability and the supply chain in general. So our plan is this, again, I think people need to understand, we're still at an early stage and the technology is generally fundamentally done, although we continue to tweak it. But the types of things we're working on is this: there might be two different suppliers for a certain part, one might be slightly more than the other, might have a different weight than the other or slightly different functionality. So we're sort of testing things out to see what is the best component to use, where can we get the best pricing and start buying this at scale. We're in the process of finishing our drawings. And the idea has always been not a lot of proprietary or hidden things happen from the neck down. Well, I think there's a lot of intricate things that happen below the neck. I'm not worried about that -- those areas being copied. And so we would look to outsource the manufacturing of the robot bodies to a third-party OEM original equipment manufacturer in the United States. Where the magic happens, it's really in the head and that's where really the brains are. That's the ability for the Vision System for the robots to respond in a moat. We're doing our AI so that basically, if somebody goes up and says hello to the robot, it doesn't just say hello back. It lifts up -- it recognizes, hey someone is saying hello, I'm going to lift up my arm and wave or somebody tells a joke, I'm not just going to stare back at them. I'm going to smile or laugh. And these are all types of things that other AI companies maybe are doing, but it's incredibly hard to coordinate that with the physical features of the robot. And I think we're the leaders in the world on that. And so again, we will continue to focus on manufacturing from the neck up. And the way we get to scale, is by outsourcing the body parts. The reason why I think that's a careful approach for shareholders is this. I don't think any shareholder would want us to say -- to put out a press release to say we're building a $20 million facility to start building body parts when clearly that's not something that we've done before and there would be a lot of trial and error around that. The logical first step for me is, let's get somebody to manufacture the non-proprietary stuff, which is the neck down, let us focus on the head up and that's an ability for us to scale without having a huge CapEx number. I also think that's going to lead to better margins. If you go to people that manufacture the stuff, they'll probably be able to do it first at a lower cost and use their existing machinery instead of us starting this stuff from scratch. In terms of how the market is developing. I think it's developing great. Like I said, this is a new market. It's not like two, three years ago, anybody was talking about a market for humanoid robots. We're developing this market. And the way you develop it is by having these installations and showing people. When we were at CES, the fact that people who are filming their stuff were getting millions of views, the fact that we had probably the largest crowd at the show, the fact that we got four billion media impressions, tells me that there is a market here. People are fascinated specifically with what we are doing and so we just have to continue down this course. But knowing that listen it's not a low-cost item. People are going to do their work. They need -- it's not that they need convincing. I think everybody sees what the use case is, but it's about making it visible to them and allowing them to test it. We talk about some of the stuff where -- in some of these conversations with hospitality for example. The cost of having a robot that can do a whole bunch of AI-driven concierge-type services for you in bookings, there's an actual tangible savings there for a hotel to have like an actual physical presence in some of these things like for Tix4 instead of having a human there that can react collect information data, there's an extra level of accuracy and the information that's being provided. And over time there's a payback. And that's what we are in the process of establishing and showing people. Someone asked if there's an ability that a robot can perform a physical function as in fast food. That's not really what we're aiming for. Our robots are really meant to interact with humans on a more social basis so companionship, customer service, entertainment. We're having conversations with people that have owned the AI to famous celebrities. And so can we add a physical presence to that to interact with people entertain? Our specialty is making robots that look really human. I don't know that having a robot that looks like a human at McDonald's that hands out food is necessarily what's needed. I think that can just be like a robotic arm. So, that's not really an area we're focusing in on. I think that's where a lot of other people are focused on and I sort of like the fact that we're in an area that there isn't a lot of people competing with us. Somebody asked if the robots can see can they be used for safety for example to contact authorities in a burglary or contact medical care in the event of a heart attack or following an elderly person. And the answer is yes. That's exactly a feature that we've built in and that's why we're having sort of some traction with some of these places and sort of some of these health care facilities that have -- they've contacted us with these exact questions. One thing I would mention with respect to that is since CES, we've had a lot of sort of inbound calls but we're still sort of preparing. We've just uploaded for people to the website. We've got a brochure there now that provides a lot of specific information on the robots. We've got a frequently asked questions area that we've added the ability for you to even purchase and get quotes off the realbotix.com website. And I think that's all super important for people to sort of go in and check it out feel free to give us feedback. But we're still developing the sales process. Like we're still looking to hire the right person for sales and marketing. We're still looking like where do we advertise? And a lot of this needs to be sequenced and timed properly with our ability to scale. Right now we're building six robots. I believe again because we're sort of in this testing experimental stage I think that's kind of an eight-week process. And as we continue to do that and refine and get our final drawings down, we'll be able to take that to the next level where we can scale and commercialize at a much faster rate going into next year. Some of the other questions here that have come in it relates sort of to the share price for financing. That's not really stuff that I can sort of answer. What I would say is the company today, at the current sequencing that we have, does not need capital. Based on current estimates that we have internally we have anywhere from 12 months to 16 months of capital available based on what we're doing. So, there's a fairly long runway for us to go out and see what we're doing. Clearly, we don't control the share price. The market does what the market does. And some days are popular and you're the hero and some days you're not. As a guy that's been running public companies now since 2018, you realize everything comes in -- it's very cyclical. And like I said, sometimes people are messaging you and saying congratulations. And other times people are like very upset. As a management team, we sort of -- again, we do our best. We really do try to put our heads down and just continue to try and build the business the best we can, with the resources that we have. Obviously we want the share price to go up. I think what we saw during the Consumer Electronics Show is -- and this is actually a great testament to the value of our company. But during CES, our share price went up 400%. That was based on people who attended the conference, looked at the robots and said "Holy geez, this is incredible. I need to own a piece of this company, because this is going to be huge." That's great validation and a testament to us. Obviously though, there's not -- CES doesn't happen every week and then sort of some of the excitement wears off. That's one of the reasons, we do want to attend more conferences is, because I think the more we show off our product, the more excited people get. But again on a day-to-day basis, we don't control the share price. There might be one day somebody who wants to sell, other people who want to buy. We obviously want the share price to go up. Down the road or at some point, if we did decide to do a financing, we were obviously want to do it at the highest price possible. Matt and I are both large shareholders, neither of us want it to be diluted down. And so, we've got our heads down. We're working very hard to create shareholder value from the inside. Sometimes the outside market sees that, sometimes they don't. We hope over time that they'll continue to see that and we'll be able to sort of prove ourselves, through some of these initiatives that we have.
Andrew Kiguel: So maybe with that I thank everybody for joining the call. If anybody has further questions, you're welcome to send a message to the contact at realbotix.com. Those messages go to Jennifer and she tries to answer them. If not, I respond personally to a lot of those and I'm always happy to engage with people. I thank everybody for support during good times and tougher times. And like I said, it's been quite a ride. But I can tell you internally, morale is very high. We are super excited about the things we're building. We're super excited about not just the Bitcoin Conference that's in about a week, but this IFA Berlin in Europe, which is 200,000 people that attend. The one that we're attending in Dubai, which is in October, also a huge event and the people that we're partnering there are all sort of world-class names. We're really excited on what's going to happen when more and more of the world sees, what it is we're doing. So with that, thank you very much everyone and we will chat again next quarter. Bye-bye.